Operator: Thank you for joining QuinStreet's Second Quarter Fiscal 2023 Earnings Call. Today's call will be recorded. Today we're joined by QuinStreet CEO, Doug Valenti; and QuinStreet CFO, Greg Wong. Following the prepared remarks there will be a Q&A session. [Operator Instructions] And with that, I'll pass it over to Laine Yonker [ph]. 
Unidentified Company Representative: Thank you, everyone, for joining us as we report QuinStreet's second quarter fiscal 2023 financial results. Joining me on the call today are CEO, Doug Valenti; and CFO, Greg Wong. Before I begin, I would like to remind you that the following discussion will contain forward-looking statements. Forward-looking statements involve a number of risks and uncertainties that may cause actual results to differ materially from those projected by such statements and are not guarantees of future performance. Factors that may cause results to differ from forward-looking statements are discussed in our recent SEC filings, including our most recent 8-K filing made today and our upcoming 10-Q. Forward-looking statements are based on assumptions as of today and the company undertakes no obligation to update these statements. Today, we will be discussing both GAAP and non-GAAP measures. A reconciliation of GAAP to non-GAAP financial measures is included in today's earnings press release, which is available on our Investor Relations website at investor.quinstreet.com. With that, I will turn the call over to Doug Valenti. Please, go ahead, sir.
Doug Valenti: Thank you, Laine. Welcome, everyone. Well, first the headline. The anticipated sharp reramp of Auto Insurance client marketing spending has begun. And it looks like it's up into the right from here. Our Auto Insurance revenue is expected to jump by over 60% this quarter, the March quarter, versus the December quarter. So we are seeing the significant positive inflection we anticipated. Excitingly though, even with the January search and its immediate positive impact on our results, we are so early in the full recovery and reramp of Auto Insurance. We expect much more to come. We've been predicting this significant positive inflection in Auto Insurance, our biggest client vertical, for some time and we have been preparing for it. We believe that we are at the beginning of a ramp that over coming quarters will lead back to Auto Insurance client spending levels seen prior to the inflation challenges of the past couple of years and then, to further strong growth from there, as the share of marketing budgets and consumer shopping, represented by digital media, continues its relentless march up into the right. The return of Auto Insurance marketing spending is due mainly to carrier progress adjusting their products and increasing their rates to offset higher costs and to the resetting of carrier combined ratio targets as of January 1. Consumer shopping, traffic, online fraud insurance is also up as expected, spurred largely by the rate increases. QuinStreet revenue and margins are increasing rapidly, as growth in insurance, combined with already strong momentum and our other two nine-figure annual revenue client verticals, those of course being Home Services and credit-driven Financial Services. As a result, we expect record total company revenue in the current March quarter and a significant jump in adjusted EBITDA. We expect record revenue again and a further jump in adjusted EBITDA in the June quarter. Looking back at the December quarter, which was our fiscal Q2, results were good, especially given conditions in Auto Insurance and the shifting macroeconomic environment in the quarter. Our business model, once again, demonstrated its resilience. And we, once again, demonstrated our ability to successfully and profitably navigate even the most complicated environment. We grew revenue year-over-year in Q2 and generated positive EBITDA in what is our softest seasonal quarter and despite facing both the bottom of the Auto Insurance market and the shifting macroeconomic environment. December quarter results also included continued investment spending on exciting long-term growth initiatives and capabilities as promised. And as our positive results demonstrate, we are making those investments with the efficiency and margin and cost discipline you have come to expect from QuinStreet. Our commitment to continue our disciplined investment and long-term initiatives through the transitory challenges in the insurance market is paying off. Revenue and margins are rebounding quickly. We expect them to continue to ramp in coming quarters and that our long-term prospects have never been better. I want to make some brief comments about the macroeconomic environment, which we continue to assess and that we believe is reflected in our outlook. Most importantly, we expect the reramp of Auto Insurance client spending to be the dominant driver of our performance trends in FY Q3 or the March quarter and likely in quarters to come as carrier spending continues to reramp. Related and in addition, consumer shopping for auto insurance typically increases during periods of economic uncertainty. We would expect that to be another net positive for our insurance results, especially given rate increases. As for our non-insurance client verticals, the majority of our business there is leveraged to homeowners and to prime and near-prime consumers. As you have heard from the banks and credit card companies, the balance sheets, credit and spending levels of those consumers continue to be in good shape. Turning to our outlook. We expect total revenue in fiscal Q3 to be between $160 million and $170 million, a company record. We expect adjusted EBITDA in fiscal Q3 to be between $7 million and $8 million, reflecting the immediate, significant, but still early impact of top line leverage on reramping insurance revenue. For full fiscal year 2023 ending in June, we expect revenue to be between $610 million and $630 million. And we expect full fiscal year adjusted EBITDA to be between $25 million and $30 million. Our financial position remains excellent with a strong balance sheet with almost $80 million of cash and no bank debt. And we are entering a period that we believe will be represented by ramping revenues expanding margins and strong cash flows. With that, I'll turn the call over to Greg.
Greg Wong: Thank you, Doug. Hello, and thanks to everyone for joining us today. The December quarter demonstrated the strength and resilience of our business model and client vertical footprint. We delivered solid year-over-year revenue growth of 7% to $134 million despite challenges in Auto Insurance as well as a shifting macroeconomic environment. Our non-insurance client verticals represented 64% of total Q2 revenue and grew 31% year-over-year. Looking at revenue by client vertical. Our Financial Services client vertical represented 67% of Q2 revenue and was $89.3 million approximately flat year-over-year. This was a result of the continued strength in our credit-driven and banking client verticals, which largely offset expected challenges in the insurance -- in insurance for the quarter. Within insurance, carriers continued to limit their marketing spend in the December quarter to manage calendar year 2022 combined ratio targets. That said, as anticipated, we have now seen the significant positive inflection in revenue beginning in January. This carrier combined ratios reset, carriers begin to benefit from rate increases and consumer shopping intensifies in response to higher rates. Most importantly, we expect insurance revenue to continue the ramp up into the right over the coming quarters, as we believe we're in the early stages of the full recovery of that market. Our credit client verticals of personal loans and credit cards as well as our banking business delivered excellent results in Q2 growing a combined 35% year-over-year. Revenue in our Home Services client vertical grew 27% year-over-year to $43 million or 32% of total revenue. As we've discussed in the past, Home Services may be our largest addressable market and our strategy to drive long-term growth here is simple. One, grow from existing service offerings, like window replacements, solar system sales and installation and bathroom remodeling none of which we believe are anywhere close to their full potential. And two, expand into new service offerings, where we see the opportunity to at least triple the number of these sub-verticals we currently serve. This multi-pronged growth strategy is expected to drive double-digit organic growth for the foreseeable future. Other revenue was the remaining $1.8 million of Q2 revenue. Adjusted EBITDA for fiscal Q2 was $1 million. Turning to the balance sheet, we closed the quarter with $79.1 million of cash and equivalents and no bank debt. In closing, we are excited about our business and financial model as we head into the back half of our fiscal year. The significant positive inflection we are seeing in insurance combined with the continued strength of non-insurance client verticals is expected, to drive strong total company revenue growth and rapid expansion of both adjusted EBITDA and cash flow in the March quarter. We also expect revenue growth, adjusted EBITDA and cash flow to strengthen again, in the June quarter. With that, I'll turn the call over to the operator for Q&A.
Operator: Thank you. And at this time, we'll be conducting our question-and-answer session. [Operator Instructions] Our first question comes from Jason Kreyer with Craig-Hallum. Please state your question.
Jason Kreyer: Thank you, gentlemen, just wondering, if you can help us bridge the profitability gap because I certainly appreciate the record revenue that you're forecasting over the next couple of quarters. But if we go back a couple of years like the back half of 2021 the last time you were kind of at revenues at these levels we were seeing EBITDA margins in kind of the double-digit range. So I'm just wondering, what's different about it this time. Or do you expect that to maybe, occur a couple of quarters out from now?
Doug Valenti: Yeah it's a great question Jason. And thank you for it. I'd say and a short answer would be we expect it to come pretty soon. The longer answer is, we are spending on growth initiatives across the company and -- including insurance. And we're doing that because we see big attractive growth opportunities with great incremental variable margins, and because we have the capacity and a surplus to do it. And we are getting great results from it. But we are nowhere near that, to where we expect to get with insurance over the next few quarters. It is still very early in the revamp there. So we're not getting the kind of top line leverage from insurance or the full top line leverage you would expect because we're about $20 million a quarter. Even in the March quarter it will still be about $20 million a quarter short of the pre-downturn peak in insurance. And we're also not getting the full media margin or variable margin leverage we would be getting, because all the carriers aren't back which means we have fewer matches for consumers which means our media efficiency and yield are down which means we don't have that first level margin. So, now all that being said, we're going to go from about breakeven in the December quarter to about a 5% adjusted EBITDA margin in the March quarter. So you can see that, it's coming back very rapidly. And all indications are we're going to keep gaining the top line leverage and that media efficiency. And therefore, you should just continue to see -- I know we've already told you, we expect to see continued expansion of adjusted EBITDA margin in the June quarter and certainly beyond. So that's the -- that's what's going on. The -- but I think we're spending that money -- spending on growth. I think is being done very effectively and obviously disciplined way. Effectively, hey we grew noninsurance work was 31% at great scale in the December quarter year-over-year. And we are seeing a big fast reramp and bounce back as the insurers come back, both in our top line to record levels and adjusted EBITDA as I said from kind of breakeven to 5%. So I think we're really well positioned for the next cycle and position to take advantage of continuing to scale all of our businesses including insurance as it comes back. And you'll see -- you won't see any degradation of variable margin. The variable margins we're driving in noninsurance are very attractive, certainly consistent with it in many cases above our historic levels. So that's happening. It's just insurance again. Top line is not fully back yet, nor is media efficiency, because not all the carriers are back fully yet, although we have some that just started coming back again this month. Obviously, we had a number of them coming back in January and then we have even more on their way. So, the outlook is very, very positive. I would also argue that, as we've looked at -- we've been talking for the last couple of quarters about continuing to spend on these growth initiatives. I would argue suspending modesty momentarily that we've done that pretty optimally. We -- in December, we spent -- just we didn't -- we spent very aggressively on everything that we think made sense to spend on for the future in the noninsurance and insurance verticals. And we still made $1 million EBITDA. So, we're spending to the capacity we think makes sense, because we have great big long-term opportunities and we're delivering opportunities. We'd see more opportunities to keep doing that and to keep growing at big scale and to keep big driving margins at big scale. So, I'd say right where we are, would we love for insurance to come back faster? It's going to keep coming back. It does look very sustainable. And it looks -- our own indications from the carriers are it's going to continue to come and continue to scale and be sustainable because our rates are really reflective of the current environment and are delivering great results for them. But super happy with where we are. What's happening is what we said was going to happen.
Jason Kreyer: Okay. Thank you for all that. Sorry, apologies in advance. I've got like a three-part question on Auto Insurance. So, I know January was a tougher comp for you and then the comps ease in February. So I just -- first of all just, wondering if you can give a little bit more clarity on the cadence of what you've seen so far in early '23. And then second question just if there's any details you can provide on how traffic is ramping up like if there's any numbers behind that? And then the third question. As you see these rate increases, I'm just curious if that means you're making more money on all the opportunities that you're delivering to the carriers.
Doug Valenti: Yes. Got you. The [indiscernible] in early 2023 is kind of what we indicated quick snapback from a few of the bigger client carriers that are furthest along in terms of their rate and product adjustments are pretty immediate. And that's why 60% Auto Insurance jumped from the December quarter to the March quarter. And we have other carriers, another big carrier I think just yesterday or maybe today coming back into the channel in a pretty significant way. And we're talking to the carriers and they are all at different stages of coming back in. Some are back in very strongly, some are not yet, but planning it. We haven't heard anybody say hey I'm just not going to be big in 2023. That's just not something we're hearing. So that's kind of the cadence. But again we're -- even with all that we're $20 million shy of the pre-downturn peak in Auto Insurance revenue per quarter. So that gives you a sense and a feel for how much more top line leverage is to come. And also, as they -- as more carriers come back, not unimportantly, we have more places to match consumers, which means we have better media efficiency, better media margins, better overall margins. So you have a double effect on overall margins as that happens. So it's coming. It's ramping. The ramp is -- hard to say at this point the ramp is accelerating or not, but it's a steep ramp 60% quarter-to-quarter is a steep ramp to begin with. And we expect, as we said continued ramping. That's the indication, we're getting from everybody. That's the indication we're getting from the industry in terms of the rate. That's the indication we're getting from inflation, as we look at what's happening with used car pricing and supply chains and another factor. So everything is lining up for this to be – particularly with the rate increases of course. Good year – very good year and the beginning of a big cycle for insurers. In terms of the details on the traffic, I don't have the details in terms of how much is up, but it ramped up very quickly in January from December. Double-digit percentages plus. And we've seen it – we see it. It came up and it ramped into January, and it's kind of plateaued. And it plateaued at a significantly higher level than it was in the last part of last calendar year. Also, industry folks are reporting increases in shopping behavior. J.D. Power came out with a report I think a week and half, two weeks ago it said that, the percentage of consumers shopping for insurance is the highest since they started tracking. So again, nothing about that is surprising, right? We know that, everybody got the rates increased on them over the past year or so or just about everybody. And those rate increases were not small 10% sometimes 15%, 20%. So if you're a consumer, even if the economy is good you're probably going to go and see if you can save money somewhere else. If you go to shop your – a big percentage of those – of you are going to wind up on QuinStreet insurance marketplaces. So good solid ramp and participation by consumers and not – again not unexpected and that should be a continued positive driver of revenue and insurance for us. The rate increases don't reflect themselves directly in our pricing. But they certainly give the clients more surplus with which they can spend on marketing and higher lifetime value than they would have without the rate increases which means that the level that they can spend or the pricing they can spend can be higher. So there's not a super direct connection, but there's a very strong connection between the rate increases and what the carriers are doing. What we've generally seen with the carriers that have gotten their rates increased to the levels that they think are working is good strong demand and good strong pricing for the segments of consumers across the board. It's what you would hope and expect is the rate is now reflective of a healthy economic model and they're able to spend like they would in a normal positive cycle on that – on attracting those segments and on underwriting. So that's probably the best I can do on that.
Jason Kreyer: That's perfect. Thank you, Doug, I appreciate it.
Doug Valenti: Thank you, Jason.
Operator: Our next question comes from John Campbell with Stephens. Please state your question.
John Campbell: Hey, guys. Good afternoon and Happy New Year.
Doug Valenti: Hey, John.
John Campbell: Hey. Doug back to the guidance, I mean, really good revenue outlook. Obviously, the midpoint on the EBITDA it looks like 90 bps of kind of compression year-over-year. And you just touched on this, but I want to make sure, I get a good grip on it. So it sounds like it's not a mix shift issue. It's basically you guys staffed up a good bit to basically handle a higher level of insurance than what you're seeing today and maybe what you're expecting to see in the quarter or two ahead. But as the top line continues to kind of lift from here we should – I guess, are we expected to see better-than-average incremental margins maybe as you move into the next fiscal year? Is that the way to think about it?
Doug Valenti: It is. It absolutely is. We have very good incremental margins right now across the board except in insurance, where the incremental margins are fine and accretive, but not yet where they will be as we get more top line out of that vertical and more media efficiency out of that vertical with the participation of more and more carriers. That's kind of the gist of it really pretty mathematically simple and not complicated. That's exactly what's going on. And we've said this all last year, we said listen, we – I think we said it, the year before. We were not going to stop investing in long-term growth and big initiatives during the insurance downturn, because they knew it was transitory, and we wanted to be ready for the other side. And this is the other side. And as I said, I think we kind of -- from our perspective, given the size and the attractiveness of the opportunities we have in front of us, we feel like it was pretty optimally done. Again, we did it even in December, which was a very soft quarter from every angle with a lot going on seasonally from -- insurance went down. They got down again because of the late season winter storm. And then you had -- we had started to see some impacts along the edges, on low-income consumers and we still drove $1 million of adjusted EBITDA. And you said this last call, we know how to make money. And so despite, all that despite spending very aggressively, but in a QuinStreet kind of disciplined way on big opportunities, we still made money. So you know we're going to make money, and we expect to just make more and more money in coming quarters, as we continue to get more back in insurance. 
John Campbell: Okay. Makes a lot of sense. And then also on the consumer credit-driven verticals, there's a lot of fear out there around kind of deteriorating consumer balance sheets. That's not necessarily bad, for some of those businesses I guess, maybe personal loans, if you can go, a little bit deeper down the spectrum. But I'm looking for a little bit of commentary or just some color around, how that progressed in the quarter, maybe start of the quarter and maybe even up until January, kind of what you guys are seeing in that channel, what the consumer appetite looks like versus the sources of credit. 
Doug Valenti: Sure. Let's start with credit cards, which is one of -- is a big business for us and good business for us. We're seeing very strong consumer demand, particularly for travel-related cards, which is what we're -- we have the most leverage to. That's the biggest part of our mix. And particularly in travel-related cards with prime and near-prime consumers, which is a dominant consumer base that we serve in our credit cards business. As far as the issuers go, and their credit standards we have seen almost no timing. Strong demand, enthusiasm, very successful limited time offers. Any adjustments that we've seen have been very incremental on the edges and probably represent less than 5% impact, on the aperture of their marketing appetite. So, it's kind of full steam ahead, with the big banks and the credit card issuers and we serve all big credit card issuers. And so we're keeping a close eye on it. They're keeping a close eye on it, but their balance sheets are in great shape. The consumers are not even yet back to pre-pandemic card balances or delinquency rates. And so we're -- the consumer, is in very good shape there. Where we are seeing some deterioration of credit, and it's been -- and it's fully incorporated into our outlook and offset as you said, by other things we do in the same business, is in personal loans. A little bit more of tightening than credit cards, as the lower income consumer is under more pressure, understandably from inflation than those prime and near-prime consumers. And so, we have seen some effect there. Not huge, but some. And it's partly -- I almost said largely, marginally might be the better adverb, but let's say for now partly offset, by the fact that as you know in our personal loans business, we also match to credit repair, credit counseling and debt settlement clients. And so oftentimes, there are two things that can feed our personal loans business about credit. One is as consumers are trying to get more on their credit card balances, we see stronger demand for credit card debt consolidation in personal loans, and that is beginning to happen. And we also see more consumers get into a little bit of trouble, with our credit particularly at the lower income levels, and they end up needing assistance of other types of assistance like, credit repair, credit accounts and debt settlement, which we and we have a big business and big clients, big high-quality clients that serve those consumers. So net-net, the credit side of the business is in really good shape. 
John Campbell: Okay, very helpful. Thank you, Doug.
Doug Valenti: Thanks, John
Operator: Our next question comes from Max Michaelis with Lake Street Capital Markets. Please state your question.
Max Michaelis: Hi, guys. Thanks for taking my question. I just want to touch on the guide for next quarter. So you had a nice quarter out of Home Services. I think they grew 27%, maybe not growing that fast next quarter but let's think mid-teens low 20%. Do you think Q3 grows at similar rates? Just trying to get a gauge on how much growth we could see out of the Auto Insurance and Fin Services segment? Thanks.
Doug Valenti: Thanks, Matt. Greg, I'm not sure, I mean, we -- I think year-over-year growth implied in the guide is what Greg for the March quarter? 
Greg Wong: Yes, at the midpoint in the March quarter it's 10% year-over-year growth. And so..
Max Michaelis: Yes. But, I guess, I'm trying to gauge whether or not we should see similar type growth out of the Home Services segment because I'm trying to gauge how much Financial Services would grow year-over-year. I guess, that's what I'm trying to ask. 
Greg Wong: We don't guide specifically by verticals. So those are numbers that -- not numbers that we put out there that said I expect Home Services to continue like I said in my prepared remarks due to raw double-digit organic growth rates. Depending on the quarter it can vary anywhere from 15 to what you just saw 27. So -- but I expect that business to continue to perform well and throw off double-digit growth. 
Doug Valenti: It's going to be in the same range as it has been in the 20-ish percent range is not a bad assumption. You might be off plus or minus a couple of points, but that business is pretty solid 20% year-over-year growth quarter-to-quarter and has been for a while and we expect will be into the future. We had a particularly strong quarter last quarter of course and we'll have those as well. But it's not a bad range to consider it being in that that's all. 
Max Michaelis: Okay. Thanks. And then the last one for me. Were you guys active in the buyback this quarter? 
Greg Wong: We were not this past quarter. 
Max Michaelis: Okay. Thanks, guys.
Greg Wong: Thanks, Max.
Operator: Our next question comes from Jim Goss with Barrington Research. Please state your question.
Jim Goss: Hi. Thank you. All right a couple of questions. The first one – one of the trends recently has been auto sales have been at low levels for both new and used cars over the past couple of years and the mix has varied. And I'm wondering if that mix element does have any impact on the demand for your insurance, sort of, the pricing of the policies. I imagine it would but wondering what you actually thought. 
Doug Valenti: We -- not meaningful. Demand doesn't change the market in a meaningful way. And we've not heard that from carriers and we haven't seen it in the budget allocations. Most insurance as you know is really bought for existing ownership. Not that there aren't any policy sold for new ownership, but most of it is for existing ownership. And the softening is really incremental in those markets. So A it's not a big part of the overall mix annually; and B, it's relatively -- while it's meaningful it's relatively incremental on what's happening with new. And when I say you want new whether they be brand new or used and so it's just not a meaningful impact. And we have not seen that and we have not heard that from our carrier partners. 
Jim Goss: Okay. Doug also I wondered if the soft period recently has given you an opportunity to maybe gain some share of budgets in some of the key carriers. I know Progressive has always been a key one, but you've had [indiscernible] getting a bigger share and certain of the other ones. Has that been a part finished before you. 
Doug Valenti: It's part of why we've been spending so aggressively. We wanted to put ourselves in a position to -- as the market came back have gained and to be able to benefit from the most share as possible.
Jim Goss: Okay.
Doug Valenti: So we have -- we do believe we have gained share on -- from the clients in both the media side and the budget side. 
Jim Goss: Okay. And one last one. I was wondering about the comment that was made earlier about tripling potentially the subverticals served in the consumer products area and consumer services. And I'm wondering how you would pace such growth in terms of the cost positioning that would be required to enter new markets relative to embedding yourself further in existing markets? 
Doug Valenti: Yes. It's in the Home Services trades that Greg was talking about and the trade would be like kitchen remodel would be a trade. We are in about a dozen verticals there now trades there now we think we can be in a lot more. We think we can triple the number we're in. We pace that really based on how fast those we're able to do that within a reasonable contribution margin range. We invest a lot in Home Services, because there is such a big opportunity but we can -- it's more limited by our execution capacity than it is financial capacity. So we haven't found that it's been a drag. And in fact, Home Services is one of our highest contributing businesses. When I say contribution, I mean, you got several layers of margin, right? The first layer of margin is media efficiency. Second layer of margin is you then take the people in that business out. And after media costs and after people cost you have contribution margin. We're pushing Home Services kind of as fast as we can execute and to grow those markets and it's still one of our highest contributing businesses in terms of percentage and dollars. So it’s not limited financially in what we're doing in Home Services.
Jim Goss: All right. Thanks very much. Appreciate it.
Doug Valenti: Thank you, Jim.
Operator: [Operator Instructions] Our next question comes from Chris Sakai with Singular Research. Please state your question.
Chris Sakai: Hi, Doug and Greg.
Doug Valenti: Hey, Chris.
Chris Sakai: Sounds like a great quarter. Just wanted to ask about insurance, I know you've talked about Q3 and Q4. Just wanted to get your feeling and color on how it would continue into Q1 of next year?
Doug Valenti: Yes. It's a good question. We would expect it to continue to ramp. We think we're in a very -- in a multi-quarter ramp as these carriers are getting their legs back under economically with the rate increases. And as they get the products and states aligned with those rate increases to get their portfolios where they want them they've got a lot to come back from as they had to really close down a lot of their efforts in marketing and expansion over the past couple of years with the issues they had with combined ratios. So, every indication is a continued ramp. I think I said a few quarters ago about that we might be entering a super cycle. I think we are likely to have a good long multi-year cycle in insurance, because the rate increases have been very healthy. They've been very smart. And the carriers are just going to keep making those economics and reflecting them in their market activities in the market presence. So we expect a good long trend up into the right for insurance. And that's again driven quite simply by the fact that they now have rates that are more reflective of the new cost environment, both on the catastrophe side as well as on the repair side.
Chris Sakai: Okay. Thanks, and then, can you help me understand more about the increase in product development expense. Is this going to occur basically as long as insurance continues to ramp. Can you help me understand that?
Doug Valenti: I think we won't keep increasing it. I think we're kind of at the level we're going to be at for a while. And then what's going to happen is, it won't grow like it's been growing or like it grew this past couple of years, but revenue will. And so that's how you get the margin expansion, right? You get more revenue driving more incremental variable margin on top of a semi-fixed, relatively fixed product development and other cost base, which is why you're going to see that margin continue to expand and why you're seeing the jump like it did like we expected to in the March quarter from, again, breakeven to 5% already in adjusted EBITDA in the March quarter and more than that in the June quarter. As you run your numbers, you'll see our assumptions there that they're going to expand another point or two in June.
Chris Sakai: Okay. Okay. Thanks for the answers.
Doug Valenti: You’re welcome, Chris.
Operator: Thank you. And there are no further questions at this time today. Thank you everyone for taking the time to join QuinStreet's earnings call. For a replay of this call, please dial 844-512-2921 domestic or 412-317-6671 international and use the passcode 13735822. Once again that passcode is 13735822. This replay information is also available on the earnings press release issued this afternoon. This concludes today's call. Thank you.